Anthony Thunström: Good morning, everyone, and welcome to our 2026 first half results presentation. We will try to work through our formal agenda in just under an hour, take a short comfort break and then conclude with the Q&A session. It has been a difficult 6 months for the sector globally and for TFG across all 3 of our territories with the economic and consumer recovery that so many thought would play out this year further delayed. Against this pervasively soft backdrop, we also experienced extremely inconsistent trade in South Africa with significant and unpredictable fluctuations between each of the 6 months of this first half. This partly reflects a greater concentration of spend around pay days, which do shift between reporting months and then very weak demand as household budgets run down toward month ends. In particular, June and September were blowouts with both our own as well as the RLC industry numbers reflecting 0 to negative growth for these 2 quarter end months, something that we haven't experienced outside of the COVID or load shedding scenario. The softer-than-expected demand, especially in the middle of the winter season, resulted in winter sales being pulled forward and deepened across the market, and we had no choice but to follow with an inevitable impact on margin. As painful as this is, we take our medicine when it's due. I referenced this being a market-wide issue, and this is further evidenced by TFG having maintained market share against the RLC comparable apparel and home categories. As a result of the above, we are unsurprisingly adopting a cautious approach to H2, a bit more about that later. Everything I've just spoken to has a negatively leveraged impact on our 6-month performance. We did grow our top line by 12.2% to just over ZAR 31 billion. A large component of this was obviously the inclusion of White Stuff's strong numbers in the group. Excluding White Stuff, our growth for the 6 months was a more reflective 3.7%. Whilst group gross profit grew by 12.3%, this again was driven by White Stuff with overall group gross margins contracting by 20 basis points, which wasn't surprising given the trading conditions. We maintained effective operating cost control across the group with group, excluding White Stuff, trading expenses growing by 4.9%, more or less in line with CPI and key cost drivers such as rentals and salaries. However, even this controlled cost growth was ahead of the growth in sales and gross profit and resulted in negative leverage with operating profit contracting by 10%, a really difficult and disappointing start to the year. Looking at the global and regional economies in which we operate, it's been a further tough 6 months for our customers, which is best illustrated in these 4 charts. Whilst inflation has come off the highs of last year, this is not yet fully reset and has ticked back up again during our first half. We are now in a rate-cutting cycle, but the benefit of these cuts does take time to filter through to wallets. GDP growth has remained at or below 1% across all of our markets. Consumer confidence has remained negative. Anything below 100 on this consumer confidence chart represents negative. And certainly, in South Africa, household consumption growth has remained below 1%, closely tracking the lack of GDP growth. Over and above these macro trends, the South African market has also been impacted to varying degrees by international online entrants such as Shein and even more so by the acceleration of online gambling. The application of level playing field rules from November last year has slowed Shein's growth. Reveal's latest data further suggests that Shein hasn't been immune to the consumer pressures in South Africa with their average basket size having dropped by roughly 1/3 since their peak. That said, they remain a fresh entrant, and they continue to absorb overall consumer spend. Interestingly, as I'll show on a later slide, we have continued to grow strongly in the women's category, which remains Shein's sweet spot. More concerning, however, has been the recent exponential growth in online gambling in South Africa, which has been highlighted across many forums and by a number of retailers. To put this into perspective, total bookmaker and online betting in South Africa has grown from just ZAR 10 billion to ZAR 150 billion over the last 5 years with online betting alone now equating to 0.72% of total GDP. This is one of the highest ratios in the world. Gambling now equates to 1.6% of total household spend in South Africa versus total household spend on clothing and footwear of 5%. According to Stats SA, 42% of South African adults are gambling monthly. And anecdotally, we know that this isn't just confirmed to adults. We are aware of the recent Supreme Court ruling that online fixed odds gambling is illegal in South Africa, and we will certainly be adding our weight to the calls for proper regulation of an industry that is almost entirely extractive and of no benefit to the country. Against this very subdued backdrop from a geographical perspective, we saw gross margin pressure, negative operating leverage and lower operating profits for both TFG Africa and TFG Australia. TFG London would also have reported lower operating profits had it not been for the inclusion and strong trading of White Stuff. TFG Africa grew revenue by 5.5% with a 9.7% contraction in operating profit. TFG Australia revenue was slightly 0.3% down on the prior with an 18% decrease in operating profit. TFG London grew revenue by 69%, but only by 0.7%, excluding White Stuff, to report a 9.1% increase in operating profit. Despite the very slow start to the year for our London legacy brands, own channel sales encouragingly grew by 4.6% and new customers by 5%, which did help to offset the 4% reduction in department store partner sales. I mentioned the heightened inconsistency of trade for TFG Africa over the period, and this chart really illustrates just how inconsistent it's been. We had a really strong start to the year with growth in the 9% to 11% range for April and May on the back of a strong start to winter. However, as you can see, June was pretty awful with almost no growth for us and a steep negative 4% contraction for the rest of the market. July and August bounced back at around the 7% growth level, and then we went into September with a really strong first week where again, we enjoyed double-digit growth. The last 3 weeks of September, however, were dismal, and we dropped approximately ZAR 400 million of turnover to the end of the month with a negative 0.7% growth. The timing of this could not have been worse as it undered of the renewed momentum we've seen over the previous 2 months. Our Africa result for the first half would have been positive without the September drop and our group HEPS would have been closer to 10% down. Looking at the Africa performance through a more detailed category lens, Beauty had an exciting half following the launch and acceleration of our own brand beauty business. It grew turnover by 23.6% and gross profit by 29.6% as our higher-margin own brands came into play. Cellular grew by 3.8%. However, gross margin was under pressure in what is a very competitive market, and gross profits grew by 1.7%. Specialty, which includes our home, Tapestry and jewelry brands, grew by a very credible 7% and achieved further gross margin expansion with gross profits growing by 8%. Women continued their winning streak and also had a very solid half with turnover up 7.5% and further gross margin expansion, taking gross profit growth to 8.1% Value grew turnover by 3.3% and gross profit by 2.7%. Further improvements have been realized in the Jet business as we continue to revamp and optimize their estate, and this still delivered good profit growth for the half. Menswear, our second biggest category, grew by 1.7%, but felt some of the margin pressure with gross profits growing more slowly at 0.8%. Sports, our largest category, both from a turnover and profit perspective, grew by 4.9%. Given the long 9- to 12-month lead times on branded product, this is an area where we had to liquidate fairly aggressively during the half because of the slowdown, which resulted in gross profit contracting by 1%. In addition, price inflation on branded footwear over the period has been well into double digits, and this segment is currently under pressure globally. And here, we can see all of the Africa categories together, and this ties back to our reported 5.3% turnover growth for the half. Zooming back out, despite very difficult and tough trading conditions and a lot of pressure on the results, we have continued to move forward positively in all of our key bulk strategies that we've previously shared with you. In terms of building out and some of our key future growth strategies, we have launched our TFG Beauty strategy across 2,359 stores, larger beauty offerings across 340 Jet stores and started to trial our stand-alone BeautyBox stores with the aim of getting to at least 10 by the year-end. All of this will set us up for a significant beauty business by FY '30 with a blended gross margin above 45%, well up from our previous 35% margin for branded beauty. By the end of the current year, we should already be at around ZAR 1.6 billion with a strong gross margin improvement from 34% to approximately 39%. We have continued to open our JD Sports stores in prime retail locations. We had 4 JD Sports stores opened by the end of the first half, and we'll add a further 4 by the end of the year. And the stores that we have opened are all trading well ahead of expectation. This partnership provides us with access to unique sneaker styles that aren't available anywhere else in the world, and we aim to get to approximately 50 stores and ZAR 2.5 billion in turnover by FY '30. Our investment in Jet continues to produce pleasing results. We've now revamped 46 stores with the sales uplift averaging 15% and gross margin ahead of this in the revamps. We are planning to continue revamping approximately 25 stores a year and rolling out further stand-alone Jet Home stores if their current performance holds. Volpes continues to deliver strong growth. We've added 37 new stores and grown credit and online contribution from negligible to 7.4% and 7.1%, respectively. We see a rollout potential to around 140 stores and significant further contribution from both credit and online. Our VAS business, which is increasingly important in our omnichannel world, continues to grow both in scale and in profitability. We've 3x our in-store conversion over the past year and are targeting a ZAR 2 billion combined mobile VAS operating profit by FY '29 with this year's profits set to grow in double digits. In respect of Optimize, our quick response capabilities have continued to support both top line and margin growth in our ladieswear brands, Foschini and The Fix with further margin expansion in gross margin despite the market headwinds over the period, as I showed in the previous charts. We are also well on track with our quick response denim project, and this will exceed 0.5 million units in the current year. Our transformation into a fully omnichannel retail model remains well on track and heading in the right direction as illustrated in this monthly omni-selling sales graph, dating back to when we started omni-selling 18 months ago. To date, we've deployed over 3,200 mobile omni devices, and they are already contributing between 1% to 3.5% of typical store sales across our different brands. Our omni sales have a click-and-collect rate of about 75%, which is great as click-and-collect has a significantly lower fulfillment cost compared to our home delivery. Bash. Bash continues to power ahead as South Africa's #1 fashion and lifestyle shopping app with our e-com and omni-sales having grown by 40% over the period and the associated gross profit having grown by 52%. This is really starting to move the needle and has taken our Africa online contribution from 5.6% to 7.4%. Operationally, pretty much every metric continues to trend in the right direction, whether it be further reductions in canceled orders and net fulfillment costs or the increase in the parcels delivered in less than 48 hours with our own Bash delivery now accounting for 36% of our total deliveries. I'll now hand over to Ralph, and he will take us through our financial performance in more detail.
Ralph Buddle: Thanks, Anthony. The first half of the year has been marked by persistent challenges across all our markets. Trading conditions remain tough in Africa, the U.K. and Australia with cost of living pressures and subdued consumer sentiment weighing on performance. Our teams continue to do all they can to protect margin and hold back on costs, but the impact of a tough trading environment in Africa and ongoing inflationary pressures in the U.K. and Australia resulted in margin contraction across the group. There are several moving parts and base effects to consider this period, notably the inclusion of White Stuff in the U.K., which is noncomparable in H1. So before I go through the detail, the key metrics. Turnover increased by 12.7% to ZAR 29.2 billion, positively impacted, of course, by White Stuff. Gross profit rose 12% to ZAR 14.4 billion, again, with half that increase delivered by White Stuff, which is accretive to group gross margin and partly offset the contraction in Africa and in the base U.K. businesses. So EBIT declined 9.9% to ZAR 2.3 billion, reflecting the negative operating leverage from the margin contraction and sales growth tracking below cost inflation. Headline earnings per share contracted 21% to ZAR 2.926 per share, and return on capital employed declined to 13.4% from 14.1% this time last year, impacted again by the weaker result. And impacted also cash flows and net debt at the half year, but the increase in last year will also reflects both the GBP 50 million White Stuff acquisition from October 2024 and the ZAR 1 billion share buyback we concluded just last week. The net debt-to-EBITDA ratio is up from 1.2x last year to 1.5, but we're comfortable with that, and I'll cover this in some detail later. The interim dividend reflects the current result. We've held the cover steady, and that's resulted in a decline of 19% to ZAR 1.30 per share. So looking at segmental performance and starting with TFG Africa. We saw total sales growth of 5% and a gross margin decline of 90 basis points, limiting growth in gross profit rands to 3%. With cost growth outstripping GP growth, EBIT fell by just short of 10%. London, sales up 69% in base currency, but by just 0.7% once White Stuff is stripped out. White Stuff has a lower gross margin, so there's a mix impact there, too, but gross margins in the other brands did contract also as the U.K. continued to face real consumer pressure. EBIT grew 9% to GBP 12 million, again, mainly coming from White Stuff, but cost containment measures and the closure of 35 stores only partially offset inflation and the impact of the 20 new stores. In Australia, sales contracted by 0.5% in dollar terms with gross profit down by 0.8% and with EBIT down 18% to $31 million, again, due to cost growth from inflation and from new stores. Until a couple of years ago, John Lewis would publish weekly sales numbers, which were used by analysts as a benchmark for the entire U.K. retail sector. We've tried hard in the last year to provide the market and our shareholders with more information about our business than ever before. And I thought it would be useful to share what our weekly sales have looked like throughout H1. Starting with Africa. The trend line is cumulative sales, and you'll see monthly like-for-like numbers there, too. Like-for-like includes online which, as you know, continues to power ahead. So you can imagine the pressure on store profitability when sales growth is trending below inflation. As you'll recall from our Q1 trading update, April sales were supported by the Easter holiday shift. And in May, we saw the base effect of pre-election consumer confidence or consumer caution, I should say, in 2024. But cumulative growth of 9.8% at this point was still promising. And then June, characterized by higher proportional activity and up against the post-GNU euphoria, sales were up just 20 basis points, albeit ahead of a market suffering a 400 basis point contraction according to the RLC. So that's 5.2% cumulative growth for Q1. And then the promising 9.2% recovery into July, then a softer week 17. We're now getting used to seeing big fluctuations bigger than usual, especially around payday shifts. This has always been an indicator of a consumer under pressure, but was this something different, online gambling. Certainly, it was more erratic. Then Century City for our first Capital Markets Day, an inauspicious start as we released that Q1 update and saw the share price come off 8% within the first hour of trade. I began by reflecting on the last 5 years and how we were hoping for that long expected tailwind of a better macro. With the trading update in mind, I described how it would be hard to extract operating leverage and that nothing could be projected for this year or indeed for 2027 given the macro uncertainty. There was a question on GDP, and I emphasized the key multiplier effect that the 1.5% assumption had on our long-term targets. Unfortunately, it wasn't long after that, that economists and business leaders started to caution that things would be weaker for longer. I do still hope that our Capital Markets Day helps you to better understand how we think about our long-term business strategies, growth and returns objectives. We do believe that we can achieve those targets, but under weaker, it will take longer. And so then through August and into September, things were beginning to look up, cumulative sales continuing the July recovery we'd reported and a short nose ahead of cost growth. By the time the Big 5 conference rolled around, 5 months in now, we'd had one very poor month. There were 7 months to go. And there was a degree of confidence that the July and August trend would continue and that a decent September that had started really well would not only bring the first half back closer to par after the poor Q1 results, but carry on through into H2 and pull the full year back into reasonable shape. Unfortunately, it wasn't to be. In the last 3 weeks of September, we dropped ZAR 400 million in planned sales. That's ZAR 170 million to ZAR 180 million in margin that came straight off the bottom line. And the school holiday shift, albeit factored into our planning, didn't help either. RLC data indicates that, again, others were also battling. You can see the impact this had on the cumulative run rate, especially in that final week. So the second quarter ended, again, after a promising start, significantly weaker than we expected, 2 very poor months then out of a total of 6, both coming at the death. As we dropped into our close period, the negative jaws hadn't closed, they'd opened. And there's the school holiday shift into the month of October, you can see, but there's still no clear picture emerging, and that cumulative number remains subdued. Having both a portfolio of local and international businesses often provides some degree of hedge against different macros. But unfortunately, currently, it's tough everywhere. Whilst White Stuff continues to perform well, both our London and Australian businesses have continued to struggle. For London, I'm going to skip straight to the trend graph for the comp business, which excludes White Stuff. As you can see, things look to be stabilizing by the end of Q1. Too early to call it, but then right through Q2, we saw an upward trend, but one that by the end of the half, only just got us back to last year, and that's meant negative jaws. Australia, where again, we're pleased to see, if not yet a clear upward trend and at least a flattening out of the previous downward one, taking the full 26 weeks to get past the prior year rate and still a head short or maybe a neck short of covering the increasing costs of doing business. Cash flow, starting at the bottom graph, you can see through the season, that's a last 12-month view, that net cash generated from operations was ZAR 4.7 billion. That's a cash generation rate of 83%. Lower cash flows then, along with the seasonality you'd expect from H1, I'm looking at the top graph again now, impacted by the sales and margin miss. Two significant outflows as well to note, the ZAR 1 billion White Stuff acquisition funded off the London balance sheet on a nonrecourse basis and the share repurchase of ZAR 456 million up to the H1 close, which we've now concluded at ZAR 1 billion. I've added this slide to give context to our net debt position. It's currently at ZAR 10 billion, quite a bit up from the ZAR 7.6 billion this time last year with gearing at 1.5x EBITDA. So it's important to understand why that is. I've spoken before about how our net debt effectively funds 70% of the debtor's book. We think that's just about right as well as providing a high degree of natural hedge against interest rates. Then as I've said, there's a seasonality component at the end of September, and you can see that, that it dissipates by year-end and how despite the ZAR 1 billion White Stuff outflow in October 2024, the excess debt switched into a group excess cash position by March 2025, H2. That gives context to the current position. The seasonal peak once again present, White Stuff funding still to be digested in the U.K. but covered by its own cash inflows, the ZAR 500 million buyback to the end of the period. So then about ZAR 1 billion more debt than we would ideally want to see. That's the excess debt on the graph still on the right. So more than last year, but you can see we tend to over adjust through peak season through to March year-end. I've already spoken to everything on this slide, and we'll be taking you through the inventory health and book metrics at a segmental level. So I'll move straight on to the TFG Africa segment. Again, I'm showing you the Africa P&L in a divisional format, but this is the full picture, showing the 9.7% EBIT contraction and the further negative jaws impact from higher finance costs and the IFRS 16 charge, as we indicated in our trading statement last month. If we then focus then on retail, I've already given you a blow-by-blow account of sales and margin. To be clear, there's no profits moving here. The margin contraction is a direct function of the trade environment I described earlier. So we don't expect the same impact on gross margin in H2 if the market holds. There's not too much to say on other net income, slightly down due to lower cash balances, which are grossed out in the P&L. And so you can see the negative jaws impact there again, as I've already covered. A disappointing result and a disappointing gross and EBIT margin. Return on capital employed contracting slightly due to the weaker result, whilst new stores and working capital increases the denominator. Return on capital employed really does form the center of all our planning now from considering the impact of both new and underperforming stores in the chain to stock turn and indeed in assessing every strategic project in the business that supports the retail effort. Looking then at Financial Services, interest income up 2% on 8% book growth. That's due to the lower yield on the book from interest rate reductions and noninterest income net of costs, nicely up by 14%. The net bad debt charge, up 24%. The actual net bad debt write-off is up 6%, with the bigger driver, a function of the fact that we saw a real improvement in the quality of the book this time last year that allowed us for an increase in approval rates and a reduction in ECL modeling and the IFRS 9 provision. Book quality is still in line with the prior year and the position we saw at year-end. We expect the full charge for bad debt to come in below 20%, all dependent, of course, on book growth and continued collections performance, and Jane will unpack all that a little later. Expenses in FS well controlled with additional spend to support the VAS growth. And then as you can see, we have some EBIT margin contraction due to the lower yield. Interest paid is 4% lower on the 70% notional gearing allocation because of the lower rates. And that results in a return on equity of 14%, still just ahead of our cost of equity despite pressure from the lower yield. Costs have been well managed in as much as one can or should pull back in the very short term, with retail cost to sell flat despite a muted top line. In retail, reducing staff hours can, of course, be a self-fulfilling prophecy, but we can and must do more to control costs in the short and medium term. All areas of spend across the business are being reviewed, and we're looking to pull hard on this in H2 and into next year and indeed beyond. CapEx is higher this half off a lower prior year and more in line with the years prior to that now. Logistics has now peaked and will come down with additional investment this half supporting both our online and beauty central pick initiatives. And IT spend is broadly now in steady state. Much of IT spend is instead now coming through OpEx as Software as a Service, but done well, providing for better outcomes and flexibility. Depreciation as a percentage of sales shown top right, will, therefore, begin to stabilize and then come back some. You can see from the main chart that store revamps still outpace new stores, providing lower risk sales uplift and good ROIs. There's a further ZAR 500 million of store CapEx to come in the current year, but there's now a higher degree of risk off, which is always a balancing act as new developments or simply good mall space becomes available. Just look at the blocks on the right there. And as much as we're opening 47 new stores, up from 34 last year, we're still closing another 40-odd. Many of those are profitable, but not profitable enough to meet our required returns. So we closed them at the earliest opportunity. Inventory, up 12% on last year, but we are not overstocked. Let's look at the makeup of that 12%. 5% is cost price inflation on same volumes. Another 2% relates to new space and higher density revamps, another 2% or 3% from our beauty rollout. And yes, 2% from the September sales miss, but that summer stock heading into peak. The only category that is a bit heavy right now is branded footwear and sports. And that's from longer lead times, no real fashion risk there, and it's obviously a significant Big Friday category. Inventory is fresh. We've bought for a normal level of trade and our QR capabilities mean we can quite effectively hold back in season. Effectively, we might well be chasing stock. In fact, across the business in some areas and in some categories, we absolutely will. That's retail. Some closing remarks on Africa and the group as a whole before Justin and Dean speak to you about their businesses. As I said earlier, a disappointing result. We've got to recognize the challenging macroeconomic environment in all our jurisdictions, and we're focused on mitigating actions, including margin protection, disciplined inventory management and cost containment. Looking back, it was hard to provide appropriate guidance when we were busy 5 and a bit months in, clawing back Q1 and then getting hit really, really hard well into month 6 and against the trend and then going straight into a close period. Difficult to give a heads up on an interim print and hard to give appropriate full year guidance. From an outlook perspective, in Africa, it's all still to play for as we head into peak season now. If the market holds, we don't expect the same impact on gross margin we saw in H1. Even with cost control initiatives underway, though, it will be difficult to recover the H1 profit contraction entirely. It really is hard to call this macro and perhaps the extent to which gambling, for example, is impacting already constrained consumer spend. London remains equally uncertain given the fragile economy there. And in Australia, consumer sentiment remains at historically low levels with no expectation now that interest rates will fall further. So it's to be seen whether the upward trends we saw in both geographies in Q2 continue through into the second half. The ZAR 1 billion share buyback reflects our confidence in the group's intrinsic value and commitment to delivering long-term incremental value to shareholders as we described at our Capital Markets Day. We triggered the structured buyback program on the 5th of September and completed it on the 31st of October at an average price of ZAR 105. In closing, we remain committed to restoring earnings momentum and long-term stability through the cycle and in the short term, managing the tough macros that we're up against as best we can. And with that, thank you, and over to Jane.
J. Fisher: Thanks, Ralph. So how is the world of credit looking for TFG? Well, demand for the TFG scorecard is still high with over 2 million applications in this half year, up by almost 11%, which shows the strength and relevance of our credit offering. Accept rates have been kept stable at around the 20% mark. Given the economic conditions, we are not expecting to increase accept rates further at this stage. As you would expect, the majority of our applications still come through our store network. But what is pleasing is that since the launch of our chatbot, which we named Toby, nearly 15% of all our applications come directly through this channel, which is fully automated and provides a 24/7, 365 days a year service, making it even easier to shop and pay. Credit sales are up this half year by 7.9% and the graph shows the split of credit turnover by new accounts and existing accounts. The proportion of credit sales from new accounts has grown, and this now represents almost 30% of our turnover, up from 28% at the same time last year. The expectation for the second half of the year is that credit sales will be around 6% as we are up against a strong credit sales growth for the second half of last year of just over 9%. Given the credit sales growth, naturally, our gross book has grown, and our debtor's book is now up to ZAR 11 billion, not insignificant. This slide talks about the health of our book. If you look at the shaded area of the graph, this shows the percentage of accounts from a balance perspective that are up to date. You can see at this half year, we are at the highest ever percentage, beating September 2024 by 50 basis points, which was our previous record. Buying position, which is a percentage of the total number of customers that are allowed to shop at any given point is holding stable. It's higher than our up-to-date percentage as we do allow a proportion of low-risk customers who have missed one payment to continue shopping. The overdue ratios have improved to 12.3%, which is very pleasing. This is as a result of optimizing our collections efforts earlier on in the delinquency cycle. This prevents customers falling further into arrears where it becomes significantly more difficult for a customer to get up to date again. We've also introduced new propensity models within our collection's environment. This is to optimize the requested payment amount based on our customer behavior to ensure that we strike a balance between what is due, and the minimum amount acquired to prevent the account rolling further into delinquency. Write-offs have grown by 5.1%, which is still very low, and you would expect it to grow more in line with book growth. But as we only increased accept rates 18 months ago, it takes time for write-offs to come through. And therefore, we do expect an increase in the second half of this year. but analysis of vintages is stable, and new accounts are performing as expected. The net bad debt ratio increased, and this is because our book is growing. And therefore, there is an increase in absolute provisions and write-offs, which will increase our net bad debt ratio. You can also see from the graph the provision ratio, which is an indication of the quality of the book, and this is remaining stable at 17.9%, where it's remained for the last 3 reporting periods, and it is still lower than the period from 2022 to 2024. So the upshot from this slide is the book is healthy and delivering as expected. So pulling this all together, this slide shows the EBIT for credit. You can see that the income has grown by 5.6%, and this is despite being in a decreasing interest rate cycle. Since January this year, interest rates have been cut by 75 basis points. Without these cuts, we would have shown a circa 9% increase in income. However, as mandatory credit life insurance has been launched with our store card offering, this will help to protect income streams against interest rate cuts in the future. The net bad debt charge is up 24% this year, but this is against a 10% decrease in the prior year. So why did we get a decrease last year when we have an increase this year? And more importantly, should we be worried? There are 3 reasons for the decrease last half year. Firstly, the book decreased in size. Secondly, the provision ratio improved by 90 bps from the 2024 year-end, primarily due to 2 payouts. And thirdly, write-offs were only up 1.4%, all of which contributed to a decrease in net bad debts in the prior half year. In this half year, the quality of our book has been maintained, which is a great result, and our book is larger. And therefore, the total provision amount has increased. Coupled with our write-off growth, our net bad debts have increased against last year, which is to be expected. As already stated, all our vintage analysis and performance metrics like the overdue or up-to-date ratios are performing well, and the book is in good health. So no, you shouldn't be worried. Trading costs are well controlled at 6.1%. And finally, given that TFG Credit is run to enable merchandise sales, and we had a decrease in interest rates, the decline in EBIT was expected and is not a surprise at a 17% reduction. Thank you, and over to you in London.
Justin Hampshire: Thank you, Jane, and hello from London. Emma and I are here to talk you through the first half results for the TFG London segment. As mentioned already, we've got White Stuff in the numbers, and they have driven growth in the first half in a [indiscernible] way. We do, however, remain really pleased with that performance. It's not been an easy half overall, and we have already -- we previously talked about the first quarter and how difficult that was, but I'm pleased to say the second quarter was much better with a better trend. And again, you'll have seen the trend chart that Ralph shared. Overall, in terms of the market, 2 words remain uncertainty and caution. And those things definitely continue to characterize our customer base. Spending when she does spend is targeted, it's much more immediate than planned. And inflation continues to be stubborn, which is fueled by a number of things, employment cost increases, energy price rises and food. And you'll have seen in the press, there's been some high-profile cyber-attacks on U.K. retail. The most significant for us has been the one on M&S and their results recently have showed the full impact on their business. It has also impacted us but in a smaller way, but that's in our results for the first half. We worked really hard on efficiency gains in the first half, but however, those have been more than offset by employment tax increases, which were announced in the last budget and more investment into customer acquisition. More on that later. In terms of our focus, it continues to be on new customer growth. We're seeing really good results. So I'm pleased with that. We're leveraging data that's a work in progress and our product strategies are targeting elevation and value for money, driving accuracy to interpret our customer needs and demands. So I'm going to hand you over to Emma now, who will talk through the numbers.
Emma Mackrill: Thank you, Justin. So as we have heard there, we faced into some significant market and economic headwinds so far this year. Brands across all spectrums of the market are reporting footfall declines and the challenge to offset the employment tax increases in April. The lifestyle and casual brands, however, are driving growth in an overall clothing decline, and we've seen that ourselves in the White Stuff performance. They traded up 12.5% in turnover with record customer numbers and importantly, ahead of our original investment case. When we exclude White Stuff, the numbers are not as positive. This does, however, recognize the importance of diversification in our acquisition strategy. So H1 summary for the legacy brands. Q1 was slow. It was back 2.6% on the year. Q2 much better, plus 4.5% on the year. Our own channels are growing, offsetting partner declines, and that's partly due to the M&S cyber-attack, but partly other partners within there as well. Our own channels are up 4.6% half to date versus minus 4% for the partner channels. Compared to the gross margin you see here, the underlying selling margin is up on the year, and that's driven by better full price performance. Trading expenses, 2 key factors: customer acquisitions, we've increased our new customer base by 4% year-on-year, and we're really pleased with the results that are coming through there and the employment tax increases that we've already alluded to. So on to stock health. Current season stock levels are back in line with our critical path against significant delays last year. We've improved availability in our core signature lines, and we're already seeing the results of that in our full price performance, up 4% A targeted approach to clear the older season stocks continues and through the right channels at the right time, whilst not changing our full price customer focus in H2. And then longer term, technology enhancements, full review of our supply chain partners to support better end-to-end delivery for us and our customers are all being explored for 2026. So back to Justin for the outlook.
Justin Hampshire: Great. Thanks, Emma. So in terms of the macro, we've got another budget coming at us in November in a very short period of time. It's almost certain that there will be tax rises in that budget because the deficit needs to be funded. Inflation is also here to stay, I think, for a little while longer. And unfortunately, those 2 things will continue to impact the customer pocket and have propensity to spend. However, on the balance, we've got a much more promotional second half with Black Friday and with the end of season sale going into next year. And those 2 will give us much more flexibility in how we trade. We've got a stronger customer base that, as Emma said, we built up during the first half, and that will give us a tailwind going into the second half. And I'm satisfied that our product strategies are in place to leverage data and to capitalize on key growth areas. Driving footfall to stores remains a priority, and we've changed some things during the first half, which will help, including launching online returns charge, which is becoming more and more market in the U.K. We've also been driving new business. So Bloomingdale's, Selfridges have expanded their partnerships and Debenhams, we're adding back into our partner roster. Further annualization of White Stuff will clearly continue. And so the collection of those things leaves us feeling cautiously optimistic about the second half. I'm now going to hand you back over to Dean and Troy in Australia. Thank you.
Troy Wilson: Thank you, Justin, and good morning to everyone. It's Troy and Dean here again in Sydney to provide the Australian update. I will cover financial performance and inventory, and Dean will provide more detail on the current retail environment and outlook. So let's begin with a look at our performance in the first half. It was a really tough start to the year. We lost some trading days in April versus prior year with the timing of Easter and other holidays. And in general, it was a slow start to the year. In fact, the majority of the shortfall in first half EBIT was from the first quarter. For context, at the end of the first quarter, sales were down almost 3%. Q2 did build momentum and with some moderate top line growth, we were able to end the half only 0.5% below the prior year. GP percent was only slightly below prior year with carefully executed promotions and less discounting in what is still a very good promotional environment. In terms of costs, there is a large proportion of operating expenses with mandatory increases with the 2 main drivers being wages with statutory award rate increases and leases with embedded escalation clauses. We also continue to invest in new growth opportunities. Other controllable costs are being tightly managed. The resulting EBIT margin of 8.6% is slightly below the historical range of 9% to 10%. Now turning our attention to inventory. The stock mix is really consistent with prior years. Actual units are only up 2.8% versus prior year. And when excluding our test brand Axl & Co. units are level. And due to timing, the remaining small increase was due to additional goods in transit on the water for the new season. Inventory quality remains consistent and strong, 82% is current season and over 40% of that is nonseasonal core product. We remain happy with the inventory balance. Now it's over to you, Dean, for the outlook.
Dean Zanapalis: Thanks, Troy. As you can see in the results, the Australian market remains a challenge. From a consumer perspective, whilst employment levels are good, cost of living pressures remains an issue. And the interest rate easing cycle, which was providing some consumer optimism 6 months ago, has certainly paused. As a result, consumer confidence remains low, and the economy feels stagnant. From a business perspective, we've done a solid job of managing sales and gross profit in a very promotionally driven market. However, as covered by Troy, the real challenge has been managing the cost of doing business escalation across rent and wages. And these areas will remain a challenge in the current environment. Now looking forward, whilst sales are still down in real terms for the first half, we are having numerous positive like-for-like weeks. Peak period is ahead of us. And whilst it will be promotionally driven, it represents an opportunity for us to trade in a high-traffic environment across all channels. Now that being said, for specific guidance on the economic outlook, the economy is currently experiencing a very gradual economic recovery, coupled with persistent low consumer confidence. So as a result, it's reasonable to anticipate the conditions in the Australian economy will remain challenging for longer. Thank you, and back to you, Anthony.
Anthony Thunström: Dean and Troy, thank you very much for your update. We've now traded for 5 weeks post the end of our first half and conditions remain challenging. However, we also know that we are approaching peak and Black Friday and that our customers traditionally hold back at this time. For TFG Africa, we grew by 3.7%, which while still constrained, is a big move forward from September's negative 0.7%. For TFG London, we grew by 34.9%, which needs to be understood in the context of White Stuff anniversarizing on the 25th of October. Growth, excluding White Stuff, was negative 0.6%. And for TFG Australia, we grew by plus 0.6% for the 5 weeks. Looking ahead for the remainder of the year, we have very specific intent for every one of our regions and every one of our categories. Within TFG Africa, for menswear, it's all about defending market share, increasing the contribution of quick response and building out our menswear offering in the value segment. For sports, it's about defending our dominant position, further building out our private labels, especially in total sports, where we've just relaunched a very exciting Total Sports Kettle Bell apparel range and continuing our JD Sports rollout. In womenswear, it's doubling down on our recent market share gains and margin expansion and continuing our beauty expansion. Within value, the focus remains firmly on revamps, driving densities and profitability. In home, we are working on category integration across our different brands to better leverage our vertical manufacturing capabilities. And in jewelry, we are focused on increasing our lab-grown diamond offer, where we already do own the market and further refining our pricing architecture given the massive increases that we've seen in gold and silver prices. For TFG London, we are continuing to build out our own channel and customer base. Phase 8 will continue its repositioning to more premium retail sites, and we obviously want to continue to drive the White Stuff growth opportunity even further. In TFG Australia, the focus remains on getting Axl & Co. to scale and suitable profitability as we approach critical mass and then seeing what we can learn from the opening of our first Connor stores in Southeast Asia. Given the current environment, we will be very focused on all the things that we can control. These include driving further cost rationalization across each of our businesses. When it's tough in retail, you have to cut your cloth accordingly. continued optimization of trading space to drive further improvements in trading density. As Ralph shared, we close underperforming stores as rapidly as we open a new store. Reviewing inventory commitments in light of current trends but remembering that this is always a balancing act. And as we've already mentioned, we recently completed a ZAR 1 billion share buyback program, and we will continue to be mindful of prevailing conditions when considering future capital allocation decisions. In closing, this has been an incredibly tough first half. To state the obvious, our performance during the more heavily weighted second half will determine the outcome for the year. And once we've got through peak season, we will all be in a better position to assess where the year may end. Thank you for taking the time with us today. We will now have a short break and then be back in 5 minutes for the question-and-answer session. [Break]
Anthony Thunström: Great question. I think as I mentioned, we do optimize store space continuously. We will close underperforming just as quickly as opening a new store. And you've seen over the last couple of years, we've done a lot of work to drive our trading densities up and a lot of it has come through that store optimization. In terms of the particular formats of new stores that we've opened, it's kind of been selectively across our different brands. The one that's probably worth calling out that I also referenced previously was the opening of the JD Sports stores. Those are significant turnover stores and trading ahead of expectation. And then just talking about new stores, the other piece that we often don't talk enough about is store refurbishments, particularly in the Jet space that is yielding really good returns on the capital that it takes to refurb the stores. As I did mention in the earlier part of the presentation, the revamped stores are generally trading up at about 15% in turnover since the revamps and their gross margin growth is ahead of that 15%. Next question, Ralph, what was TFG London's EBIT decline if we exclude White Stuff?
Ralph Buddle: Yes. So it's back over 50%, but there is a lot of small numbers coming into that. We're talking about single-digit million pounds. So yes, back over 50%.
Anthony Thunström: Next question, Ralph, probably for you as well. How do the debt levels and gearing ratios compare to covenants? And how much headroom is there?
Ralph Buddle: Yes. So I think this number came through before I went through the net debt position. In Africa, though, specifically where the covenants are separated, covenant net debt-to-EBITDA covenants about 2.75. We're about 1.9. So we have literally billions of rands of facilities and covenant headroom and going into peak season, that dissipates through [indiscernible].
Anthony Thunström: Next question. What are we observing in terms of the promotional environment in October? And when -- and do we expect to see Black Friday early promotions somewhat like we're seeing on Bash. Look, I think October, the market has remained fairly promotional. I don't think significantly different to what we would have seen last year is kind of probably the best observation anecdotally. In terms of Black Friday, we're certainly not planning on doing anything significantly different to last year. Black Friday is planned months in advance. And I think the reference to Bash really is kind of mainly it's pre-Black Friday marketing as opposed to a Black Friday sale. So I think overall, it feels -- at this point, it looks and feels very similar to the previous year. Ralph, one for you. What level of top line is required not to experience margin pressure?
Ralph Buddle: Yes. So really, cost growth, including new stores and kind of non-comp cost pushes us to about 7%. So we really need top line to be around 7% with normalizing margins as well.
Anthony Thunström: Yes. And I think just to add to what Ralph said, again, I think what was useful was showing the individual months that made up our first half. You will have noted there that a number of those months were kind of between 7% and 9%, 10% growth. There were 2 specifically that were kind of flat to negative. So super volatile. Ralph, a treasury question. Is there more scope for share buybacks at the current share price?
Ralph Buddle: Yes. So at the moment, I think we're happy with where we're at going through peak season. We'll get back to where we like to see the debt by year-end. We have incredibly consistent and reliable cash flow views. But I think we'll look into the -- it will be the new year before we look at share buybacks again.
Anthony Thunström: Perfect. Question around the decline in market share in menswear specifically and why? What we've noticed over many years is that our menswear brands, in particular, do really well when there's money in the market. We see that through the cycle. But on a macro level, if you kind of look around the week around pay days, for example, we generally outtrade the market. And that's because we do have super desirable brands. If you think about Fabiani, G-STAR, Markham, et cetera, people really aspire to those. When the market gets tough, either cyclically or again during the latter part of the month, I think we can only assume that, that goes to people who are discounting more than we prepared to do. Ralph, a cost question with TFG Africa like-for-like sales at 4.1%, what is in the other costs that are growing at 5.1%.
Ralph Buddle: Yes. So the biggest one there is utilities, electricity being the big one. And there, we're doing a whole lot of things like putting in meters so we can track utilization in stores, changing over to LEDs. So a lot of work that we can be done, but a big cost driver, obviously, is utility and electricity costs.
Anthony Thunström: A question around when do we expect to see the benefits of Riverside (sic) [ Riverfield ] reflecting in the African -- the Africa margin and the kind of phasing thereof. I think there are 2 points to highlight here. So Riverfield is up and running. All the business case ratios that we want to hit, albeit it's been a relatively short period since the DC was commissioned and all the inventory was put in are meeting or exceeding those plans and metrics. It's obviously virtually impossible to expect to see that at the moment when we've been through the last couple of months, and it's been as promotional as we'd expect. But frankly, the DC is operating, and those benefits are flowing in reality. From a phasing point of view, it's kind of relatively evenly phased over the next 18 months or so. I think the other point just to highlight, and it's not DC specific, but it does talk to transport costs. We did -- in terms of that 90 basis point hits on gross margin in Africa, roughly 50 basis points was dealing with excess inventory because of those 2 months that dipped off so sharply. The balance of the 40 bps, the biggest component of that were additional transport costs that came through unexpectedly in the first 6 months. Those contracts have all been renegotiated, and we expect to bring the transport costs back by the amount that went up. So I think there's some good news in terms of transport costs going forward. A question on the extent of cannibalization between Sportscene stores given the new JD stores. Is this in line with prior expectation? The good news is actually, no, it's not. It's better. We kind of planned for potentially up to 20% cannibalization. We've had, again, over a relatively short period of time in the last couple of months, we've observed pretty close to 0 with one exception, and that was Sandton. Sandton at the time was running at about 4% or 5% cannibalization, but that was when our Sandton Sportscene store was kind of half closed for renovation for a couple of months. So far, cannibalization not really there. We do think there's a different customer. And as I said previously in the presentation, roughly 35% of the footwear in JD is not available anywhere else in South Africa or globally for that matter. A question around, given our investment into quick response, was there not an opportunity to react faster to the top line when it slowed down? I think, again, a great question, but to kind of really highlight that quick response at the moment really benefits and is used mainly by our ladies Foschini, The Fix in particular. As I showed in the chart where we broke the Africa performance into the different stacks that we trade through, our ladieswear divisions actually had a fantastic 6 months. Turnover up over 7%, which is well, well ahead of the market. And pleasingly, and this really goes to the quick response piece, gross margin expansion with all the headwinds that we've spoken about, taking gross profit up by, I think, just over 8%. So it really does work where it's used well. What is happening is the speed of men's fashion is starting to eventually catch up with that pace that we saw in women's fashion change. Men are frankly becoming more fashionable in terms of their shopping in South Africa. Our menswear brands are starting to move into quick response. And I think the next big opportunity, as I touched on in my part of the presentation, is really around quick response denim, which is about 20% of our total apparel sales. A question for -- probably best for Justin. Justin, what was the gross margin in the legacy U.K. brands? And why are you going back into Debenhams and other department stores given the experience with them in the past?
Justin Hampshire: Thanks, Anthony. So the answer to the first question is 66.4% is the main -- the legacy brands, if you like. And that as you can see the difference, 2.3 percentage points higher than the roll-up. So that answer the first question. The second question why are we going into -- are we going back into Debenhams. I think this is a point where Debenhams is a credible partner for us. They obviously went through a change in ownership. They closed their stores. It's now predominantly an online business. And we don't see any crossover. So it's a new -- it's a brand-new customer pool for us. And we used to trade very well in Debenhams.com. So that's the reason why we're going back into Debenhams.
Anthony Thunström: And then again, just maybe on department stores more broadly, I think the reality is they're not all the same. They are those that kind of do better than others. We've traded very successfully, for example, in M&S right up until the cyber-attack. That probably cost us in the region of GBP 6 million worth of turnover. That comes back, I think, quite nicely now that we enter the second half. Another question on share buybacks, but I think we've already dealt with that one. Jane, one for you, I think. Are current credit conditions supportive of credit sales growth into the second half off the high base?
J. Fisher: Yes. So we do predict that the second half this year, there will be credit sales growth, not as high as the first half, admittedly. But we have got more new accounts. So right now, we've got roughly 100,000 more new accounts. We've got the highest proportion in the up-to-date position ever. And all things continuing, we believe there will be growth in the second half of the year. So yes.
Anthony Thunström: Perfect. Another question on buybacks. Obviously, a popular topic. But again, I think we've answered what we can there. A question, Dean, for yourself and Troy. What would your expectations be for cost growth in Australia in H2?
Dean Zanapalis: Thanks, Anthony. I can take that. Look, we're expecting it to be fairly consistent in the second half. Underlying growth is about 3% to 4%, given the large proportion of that is sort of in wages and rent. And certainly, we'll be monitoring our sort of controllable costs to try and keep them down. So probably bring the overall down. But other than that, consistent with first half. Yes.
Anthony Thunström: A question on what would the impact on TFG Africa's profitability be if Bash sales accelerate further into the second half? In other words, would that mix change be favorable for profitability? I think the answer is we do a lot of analysis around channel profitability. Ralph spends a lot of time doing that kind of almost on a monthly basis. We're at a stage now where channel profitability is almost equal between stores and online. You can kind of argue the toss in some very small areas, but there or thereabouts. Certainly, it does -- acceleration of online sales would definitely improve Bash profitability further. We've unpacked that model before. There's a fixed cost element. As you add more sales, the costs simply don't increase at the same pace. And I think if you extrapolate this, not just over half, but over the next couple of halves, next couple of years, Bash does become more and more profitable and probably the most profitable channel to market over time. Then a question, do the drags on discretionary spend that we've highlighted, i.e., the Chinese retailers and online betting suggest enduring promotional activity? Difficult question to answer. I think probably if left unmitigated, the gambling piece, I think, suggests less money, frankly, to be spent on other areas of discretionary spend, clothing, apparel, homewares are not accepted. The actual gross margins themselves, I think if you're in a steady state can be maintained. What we've seen is an impact on gross margins because of the kind of back and forth what effects over very inconsistent months. In terms of the Chinese retailers, I think we've said Shein is a massive global powerhouse. We have seen their sales slow significantly since November. And equally, I highlighted on the one chart that they also seem to be kind of facing, I guess, the combination of that level playing field duty together with suppressed demand in South Africa with basket sizes having fallen about 30%. That 30% is a really significant number, and I think it kind of indicates that they're not running away. Ralph, treasury question, can we speak to debt maturity profile, any refinancing requirements?
Ralph Buddle: It's something we do all the time. We look at the profile, and we push the short-term one to the end of the queue. So there's -- it's all very normal and there's no refinancing requirements right now until late next year.
Anthony Thunström: Question around do we expect to see positive operating leverage for TFG Africa in the second half of FY '26 and then into '27. Honestly, impossible to call. We're going straight into peak season, November, December and to an extent, January traditionally will constitute the majority of the profit and really how the market trades over the next couple of months, I think, will determine it. The rest is honestly kind of mathematical. FY '27, again, that's crystal ball stuff. I mean, if you go back to normalized turnover growth, not having massive swings between the months that we've seen in the last couple of months, absolutely. That's what we planned for, and it's what we've done for the last 2 years, but it's difficult to know given those swings that we're seeing at the moment. Next question, to what extent will any additional debt affect appetite for acquisitions? I'll just give that -- it requires a broad answer. It's really around capital allocation in its broader sense. I think we've mentioned that given just how tough the market has been, we're being cautious at the moment. There's always a trade-off between what we invest in our existing businesses, new stores, for example, versus new brands. We weigh that up all the time. And as you've seen with the recent share buyback, which was ZAR 1 billion by the time we closed it out, we weighed all of these things up depending on how we see the market at a point in time. So I guess the answer is it really does depend. A question around any views as to why there's been robust new vehicle sales and yet apparel sales have remained soft and volatile. Really good question. I don't -- to be honest, I don't have the full answer to it. My only personal view is I think if you look at vehicle sales, we probably had something like 2-odd years if recollection serves me correctly where new vehicle sales kind of fell off a cliff. People eventually do need to replace vehicles and then start buying again. And I guess the second part is possibly, I guess, related to both interest rate drops that have already come through. And from a consumer point of view, people anticipating further drops. So vehicles becoming, I guess, more affordable. A question on whether AI or automation initiatives are being implemented to drive future cost efficiencies. The answer is absolutely. There's barely a single part of the business from credit through to collections through, frankly, to product design and testing that are all being speeded up dramatically. It's not unique to clothing retail. It's -- this is across all industries, and we believe we're kind of putting a lot of effort into that, we'll start to see advantages coming out over the next year or 2. Question around whether our previous guidance around 100 to 200 basis points, I think it was 160. So yes, falling into that range of gross margin improvement should come through based on all the initiatives that we put in place. The answer is absolutely. There was a question previously around Riverfield. That's a big part of the margin. I referenced the renegotiation of our transport arrangements. That's another piece of it. So I think we're well on track, but again, very difficult to demonstrate that in the kind of market that we're in at the moment. Question -- good question around how will low economic growth, high unemployment and inflation -- sorry, that's almost disappeared, influence the pricing strategy in South Africa going forward. Guys, the reality is we've been at kind of 1% GDP growth for the last 10 to 15 years. We've had to deal with this kind of every single year. Our strategy has been to offer customers the right price. We've kept product inflation well below the rest of the market for the majority of the last 5 years, at least. You can drive gross margin percentages and push prices on to a customer, but eventually, that is going to break in a tough market. As you can see, we've maintained and grown market share significantly over the last 5 or 6 years. It's not easy, but we believe it's the right strategy, and we'll continue to invest in that area. Two areas to call out in particular. I think if you look at what we've managed to do with furniture, those are high-priced items, obviously, manufacturing vertically, particularly using the tapestry manufacturing capacity into Jet Home has allowed us to actually drop the selling prices on some of our otherwise high-ticket items, still maintaining very good gross margins, but driving a lot of demand. And when I showed that breakup of the Africa business, you would have seen how well specialty traded over the last 6 months. You wouldn't really have expected that otherwise. It's still a tough environment, and those are kind of high consideration purchases. There's a question on the sports segment experiencing the largest gross margin decline. Is the category more promotional? Or are there other factors? Yes, absolutely spot on question. So firstly, as you would have seen from that pie chart, sports is our biggest stack within the TFG Africa business. It's very important to us. I think if we look at the factors we've seen play out in the first half, firstly, we've seen double-digit inflation -- selling price inflation on most branded goods. That's driven internationally kind of by global pricing decisions. That's on the back of probably roughly 10% increases over the last 3 or 4 years, particularly on branded footwear. So if you kind of go back and look at 4 or 5 years, it's probably in the 30% to 40% price increase range. Super tough to pass that on to consumers given all the current challenges in the environment. But over time, the brands tend to normalize those because they also want to move units. So I think we're kind of in a -- probably in a transition phase around product inflation. The rand has become a lot stronger over the last 6 months. And if that holds, hopefully, we see less price pressure going forward. I think the other piece that we need to recognize on branded product is the lead times are extremely long. Branded footwear lead times is generally 9 to 12 months. There's very little that you can do in the short term if demand slows down, and it certainly has slowed down. So you want to move the units. As a rule, we do try and take our medicine as early as possible. We don't like carrying old stock forward. You would have seen in the stock health pie charts; we've been very conscientious about that. But the impact is that it does hit gross margins in the short term. And then I think just zooming right up to the macro view, if you look around the world, branded sports have been a challenge. The biggest players in the world have really struggled in the last 12 months. That is super cyclical. It kind of plays out every 5 or 6 years, and we've got absolutely no reason from our perspective to believe this is any different. Ralph, what was the Bash profitability for TFG Africa in H1? I don't know if we covered that.
Ralph Buddle: So we spoke last time about the fact that it has broken even. It powers ahead. So it's even more profitable. We're not providing that exact number. I'm doing my best to then recharge even more central cost to get a really clear understanding of channel profitability, but it's profitable. It's doing a great job.
Anthony Thunström: Great. Then a question around are we -- do we still believe we can get to a 44% gross margin for TFG Africa. It's kind of, I think, similar to one of the previous questions. The answer is yes. We did have a -- we showed a detailed waterfall chart in terms of what we think the big levers are at our Capital Markets Day. I don't think any of that thinking has really changed. A lot of it is around the new demand-led supply chain, Riverfield's DC, holdback of inventory, et cetera, more quick response in ladieswear. I kind of showed that gross margin expansion in the pie chart. The timing of that obviously depends on what market conditions allow us to do. Question around with an increase in counterfeit goods flooding in the South African market and tough economic conditions driving consumers to counterfeit, is that hurting retail stores? Are there discussions with government. Absolutely, we have seen an increase in this area over the last couple of years. We work very closely with SARS and the SAP. If we are aware of anybody dealing in these goods, we try our very best to get that closed down. It's not great. It's kind of a bit like the gambling piece. It really doesn't help the country. It's an ongoing battle. We do think though that SARS and customs kind of on the back of the discussions that we already had with them over getting level playing fields for online imports, we do think there's a lot more focus on that currently than there has been maybe for the couple of years past. Guys, that brings us to the end of the questions. Thank you all very much for taking the time and spending that with us today and for your questions. Wishing you all the best for the rest of the day and the weekend ahead. Thank you.